Operator: Good Afternoon, and thank you all for attending the Owlet Q1 2025 Earnings Conference Call. My name is Brika and I will be your moderator for today. All lines will be muted during the presentation portion of the call with an opportunity for questions and answers at the end. [Operator Instructions] Thank you. I would now like to pass the conference over to your host, Jay Gentzkow, Investor Relations. Thank you. You may proceed,
Jay Gentzkow: Good afternoon, everyone, and thank you for joining us. Earlier today, Owlet released financial results for the first quarter ended March 31, 2025. I am pleased to be joined today by Kurt Workman, Owlet’s CEO and Co-Founder; President, Jonathan Harris; and CFO, Amanda Twede Crawford. Before we begin, please note that our financial results press release and presentation slides referred to on this call are available under the Events and Presentations section of our Investor Relations website at investors.owletcare.com. This call is also being webcast live with a link at the same website. The webcast and accompanying slides will be available for replay for twelve months following this call. The content of today’s call is the property of Owlet. It cannot be reproduced or transcribed without our prior consent. Before we begin, I’d like to refer you to our Safe Harbor disclaimer on Slide 3 of the presentation. Today’s discussion will contain forward-looking statements based on the company’s current views and expectations as of today’s date. These statements are only predictions and are subject to certain risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. These risks and uncertainties include, but are not limited to, those described in our most recent filings with the SEC and in the Risk Factors section of our Annual Report on Form 10-K. Please note that the company assumes no obligation to update any forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. With that, it’s my pleasure to turn the call over to our CEO, Kurt Workman. Kurt?
Kurt Workman: Thanks, Jay, and welcome everyone to Owlet’s first quarter 2025 financial results call. As you saw from our earnings release, we had a fantastic start to 2025 with strong results we announced today, reflecting the ongoing momentum we are driving as a business. We exceeded our expectations for first quarter 2025 results by executing on our growth strategies and leveraging our position as the only FDA and CE cleared infant health monitors on the market. As a result, we continue to capture market share, as parents increasingly choose Owlet to improve overall infant health, sleep, and safety, driving 43% year-over-year growth and our fourth consecutive quarter of breakeven or better adjusted EBITDA. We also just signed a new distribution partnership with Children’s Hospital of the King’s Daughters, one of the premier hospitals on the East Coast. As part of the collaboration, for the first time ever, babies are now able to leave the hospital with a Baby Pat or Dream Sock. Finally, another takeaway from the quarter was the exciting momentum for Owlet 360 subscription. The early results and feedback continue to trend very positively as we differentiate ourselves from a hardware company to a comprehensive pediatric health platform. Q1 was an outstanding quarter setting a foundation for growth in 2025 and despite a more dynamic macro backdrop, we’re seeing very positive trends for our business. Before we detail the strong first quarter results, I’d like to highlight just one of many Owlet stories that really underscores why our team is so passionate about our mission. My husband and I originally purchased our Dream Sock for peace of mind. What we didn’t know is how much this device would actually help us. One night at 1AM, we received a notification that my son’s heart rate was 250 to 280 beats per minute, but he didn’t seem to be in distress. We took him to the ER, which resulted in an inconclusive cardiac workup. We continued to monitor independently with our Dream Sock at home, which allowed us to pick up two additional episodes of high heart rate. After another ER visit and hospital admission, we received a diagnosis of SVT. We never would have picked up on this without our Dream Sock as my son never seemed to be in distress. With home monitoring, we were able to seek medical care quickly and are now managing with daily medication. We are so grateful to have had this technology. We received countless testimonials from parents and caregivers about the impact Owlet has made on their infant’s lives and livelihoods. It’s core to our mission here at Owlet and makes me incredibly proud of what we’re delivering to the world. Now recapping Q1 results on Slide 6, we kicked off the year with a very strong quarter exceeding expectations across all key metrics. Revenue was $21.1 million in the first quarter of 2025, up 43% versus first quarter 2024. The top-line strength drove gross margins of 53.7%, an improvement of 930 basis points compared to prior year and our eighth consecutive quarter of year-over-year gross margin expansion. Revenue growth and margin strength supported breakeven adjusted EBITDA, a $3.1 million improvement year-over-year, helping us outperform our expectations. This was our fourth consecutive quarter of breakeven or better adjusted EBITDA. Even with Q1 traditionally being our seasonally lowest revenue contribution quarter as we look to expand adjusted EBITDA profitability going forward. It was a very strong quarter of execution and as a result, we’re raising 2025 revenue guidance to account for first quarter outperformance and our outlook for the balance of the year. While the tariff situation and macro visibility remain limited creating some uncertainty, we are incredibly well positioned to drive continued strong financial performance throughout 2025 and beyond. Amanda will go into more details about our guidance. In summary, Owlet continues to fire on all cylinders. We are seeing strong performance in our core Dream Sock and Dream Duo products. In addition, we are layering in three additional growth verticals of international expansion, Owlet 360 subscription and healthcare channels that are changing the profile of the business and will propel durable profitable growth in this next phase of Owlet’s evolution. I’d now like to pass the call to Jonathan to walk through recent progress against our strategic focus areas.
Jonathan Harris: Thanks, Kurt. I’m thrilled with the execution of our team on delivering an amazing first quarter. Before an update on our strategic focus areas, I’ll quickly touch on the tariff situation and our strategic positioning. Upfront, I’m incredibly proud of Owlet team’s ability to anticipate and evaluate the risks in our supply chain prior to the most recent tariff decisions and move decisively such that where the tariff framework stands today, we don’t see material risks to our business. In the last two quarters, we’ve taken steps to transition manufacturing of our cameras from China to Vietnam. As a result, today we have minimal China manufacturing exposure, aside from some accessories which we are presently evaluating alternative sourcing options. Thailand is our largest manufacturing source as they supply our Dream Sock and Dream Duo products. As a result, assuming the current tariff rates, we are assessing the 10% additional tariff costs that are being applied to both Thailand and Vietnam. Historically, there have been exemptions for tariffs on medical devices for which we qualified. While that is not the case as we speak today, we continue to evaluate numerous ways to reduce our tariff impacts. I’d also add that the majority of camera monitoring products in this category have meaningful exposure to China, which we do not. As a result, given our positioning, we view the current situation as an opportunity to actually gain share in the infant health monitoring market. The tariff situation is very fluid and like all companies we’re adapting and assessing in real time. Now, turning to our strategic focus areas, we made excellent progress in the first quarter on driving continued global adoption of Dream Sock, transitioning Owlet into a service through the Owlet 360 subscription, supporting parents from infancy into their toddler years and increasing customer lifetime value and expanding healthcare channels to offer an insurance reimbursed monitor. We had another quarter of exceptional performance from our Dream Sock business. The US momentum remains high with a strong quarter of domestic Dream Sock sell-through growth of 40% compared to Q1 2024. The strong sell-through growth is a testament to the adoption and awareness we are driving for Dream Sock, as well as a severe cold season that saw the highest hospitalization rates since 2011 and continued strength from Amazon. Additionally, a leading indicator of how our core business is trending, baby registries, first quarter showed a 63% year-over-year increase in Dream Sock as parents continue to prioritize Owlet for their nursery. We also expanded our market share position in the quarter. Based on consumer research firm Circana and our own data, Owlet again increased our share of total dollars spent on baby monitors. Finally, brand health remains in a strong position with Dream Sock NPS being at 73 to end the first quarter. Customer satisfaction is further supported by our return rates remaining at levels lower than historical averages. Internationally, Dream Sock adoption remains robust. In the first quarter of 2025, international revenue growth was up 104% year-over-year. France and Germany demonstrated particular strength including sell-through up of 9572% respectively. Looking ahead, we see plenty of opportunity to drive adoption through our current global sales channels, as well as add new countries over time, supporting this additional growth vector in our business. Furthermore, we’re excited about rolling out Owlet 360 internationally later this year. Turning to Owlet 360, our new subscription service continues to be a standout since its official launch on January 28th. We’ve continued a strong growth trajectory with over 48,000 paying subscribers and growing. And we are seeing steady growth in attach rates as more and more parents are taking advantage of this additional tool to unlock an elevated level of infant care at home. Post January’s launch, we began marketing to drive awareness and adoption of subscription, including building in app prompts, email and SMS flows to educate current users on the benefits of subscribing to Owlet 360, as well as an updated website and product pages to highlight the value of the service. We’re really beginning to see the impacts from these marketing strategies, which we expect to drive ongoing positive adoption trends. Additionally, the customer feedback we’re receiving from Owlet 360 has supported why we were so excited to launch this new service. Parents are reporting improved peace of mind, better parenting confidence with the ability to compare their baby’s health metric trends against our pediatric health database. And we’ve also received testimonials that the value of Owlet 360 has enabled parents to avoid an unnecessary healthcare visit, a key goal of the service. It’s really exciting to see the value of our pediatric dataset unlocked for parents through Owlet 360. With new features, international rollout, and the telehealth opportunity still on the horizon, the future is bright as Owlet 360 subscription evolves the profile of the business into a comprehensive pediatric data platform. In our final strategic growth area, we continue to gain traction in our healthcare channels with BabySat. We are excited to announce a new strategic partnership with the Children’s Hospital of the King’s Daughter of Virginia. For the first time ever, babies are now able to leave the hospital with an Owlet Infant Health Monitor. This landmark initiative will serve as a critical reference point for BabySat’s value and continued scaling. In addition, in the first quarter, we launched a BabySat Android app to accompany our existing iOS app, driving further health equity for infants and their caregivers. We also soft launch Owlet Connect, a platform for integrating Owlet’s pediatric health data into clinical workflows and remote monitoring programs. Finally, we continue to make progress in our partnership with AdaptHealth. As of today, AdaptHealth includes Medicaid reimbursement in 12 states supporting BabySat products. Scaling into the healthcare market continues to take time, but there is a clear need for a wireless and wearable at home solution for high risk babies. As evidenced by the breakthrough with King’s Daughters Hospital, we continue to receive strong feedback from medical professionals that BabySat’s FDA cleared solution fulfills the unique value proposition previously unavailable to the market. To conclude, Owlet is making meaningful and consistent progress across all our strategic focus growth areas. Despite an uncertain macro backdrop, we are hitting every checkpoint to maximize the opportunity for Owlet and we’re incredibly well positioned for long-term success. I’ll now pass the call to Amanda to discuss our Q1 results in more detail, as well as our updated 2025 outlook. Amanda?
Amanda Twede Crawford: Thank you, Jonathan, and good afternoon, everyone. I’ll begin on Slide 9. Unless noted otherwise, I will be comparing our first quarter 2025 results to the first quarter of 2024. Q1 was another strong quarter as we kicked off 2025 exceeding expectations across all key metrics. Owlet continues to execute at a very high level. Revenue in the first quarter was $21.1 million, a year-over-year increase of 43.1%. Revenue growth outperformed expectations driven primarily by very strong sales of Dream Sock and Dream Duo. We also believe a heavy flu season was a contributing factor in the stronger than expected Q1 sales. Gross margin in the first quarter was 53.7%, an increase of 930 basis points year-over-year. This was our highest gross margin since going public and our eighth consecutive quarter of year-over-year gross margin expansion. The significant gross margin improvement reflects strong volume growth, favorable product mix towards Dream Sock and Dream Duo, a reduction in return rates and improved fixed cost absorption. Entering Q1, our leading position in the baby monitoring category provided us with leverage to negotiate improved terms with our vendor partners contributing to year-over-year margin expansion. Total operating expenses in the first quarter were $14 million, including stock-based compensation of $1.7 million and one-time litigation settlement costs of $0.9 million related to the shareholder derivative suit we detailed in Q4. This represents an increase of $1.7 million versus the same period last year. Operating loss in the first quarter was $2.7 million, compared to a loss of $5.7 million in the same period last year. Net income in the first quarter was positive $3 million versus $3.3 million in the same period last year, including a $6.7 million gain on warrant mark-to-market. Q1 adjusted EBITDA was $0.0 million, an improvement of $3.1 million compared to the same period last year. Top-line growth in combination with focus on operating efficiency drove the increase, our fourth consecutive quarter of breakeven or better adjusted EBITDA. Turning to our balance sheet, cash and cash equivalents as of quarter end March 31, 2025 were $16.3 million versus $20.2 million at the end of the fourth quarter 2024. At the end of Q1, we had drawn $8.5 million on our line of credit and $7.5 million was outstanding on the term loan. Now turning to an update on our financial outlook. We are updating our 2025 full year guidance to reflect the continued momentum of the business including the very strong start to the year in Q1, as well to incorporate recent changes in tariff policies. We are navigating through a macro backdrop that creates some uncertainty, specifically tariff policies that have potential to change. Given the fluidity of the situation, our updated 2025 guidance includes our best assessment of these factors based on the data we have available to us today as well as a consumer macro environment that remains consistent to the start of 2025. It was a very strong start to the year for Owlet and as a result of our Q1 outperformance and outlook for the balance of 2025, we are raising our revenue guidance. For full year 2025, we now expect revenue in the range of $91 million to $95 million or 17% to 22% year-over-year growth. As Jonathan detailed, the Owlet team has excellent job navigating the dynamic tariff situation. We have eliminated material exposure to tariffs in China. However, we have included the current assessed impact from newly implemented 10% tariffs on imports from Thailand and Vietnam in our updated outlook. As a result, we have revised full year 2025 gross margin expectations to a range of 46% to 50%. Our strong revenue forecast and the improved vendor terms we previously outlined positioned us for positive gross margin trends before the implementation of the new tariffs, which have since affected our gross margin expectations. And finally, our adjusted EBITDA guidance remains unchanged as stronger revenue expectations were offset by the impact of tariff costs. We continue to strive for full year 2025 adjusted EBITDA profitability. With that, we will now take your questions.
Operator: Thank you, Amanda. We will now start the question-and-answer session. [Operator Instructions] The first question we have on the phone line comes from Charles Rhyee with TD Cowen. You may proceed.
Lucas Romanski: Hi, this is Lucas on for Charles. Thanks for taking the questions and congrats on the quarter. I want to ask about your guys’ partnership with the Children’s Hospital of the King’s Daughters. I guess, one, can you kind of give us some better understanding of how this partnership works in terms of parents being shown the Dream Sock and Duo, just kind of how that works on the, on the ground. And then I guess to, since this partnership, have you guys seen any or at least reached out to other hospitals and sought to create other partnerships?
Jonathan Harris: Yep. Great question. We’re really excited about this partnership. For the first time ever, babies are now able to leave the hospital with an Owlet infant health monitor. So this collaboration involves implementing a consignment program in the NICU for discharges, integrating the Owlet data into the remote patient monitoring workflows, as well. So, this is super exciting and this is the first that Adapt has helped us, partner with, and we have many more in the queue, as well.
Lucas Romanski: Great. And then, I guess maybe you want to ask about the, Owlet 360 offering and the strong uptake that you’re seeing. I understand that most of the revenue contribution or at least the outperformance came in Dream Sock and Duo, but obviously some strong - stronger than our estimates uptake of subscribers. So I guess, what’s resonating well there? You did give some customer feedback earlier. I guess, how should we be thinking about the contribution from this product moving forward?
Kurt Workman : Yeah, I mean, the feedback from parents has been overwhelmingly positive. Just in in terms of the product experience, they now have access to insights around their baby’s health, their sleep, for capturing key moments with the camera and so parents love having access to that. We went from 25,000 subscribers that we shared last quarter to over 50,000 subscribers in just a couple months. So the adoption has been incredible and we’re going to continue to drive it. In terms of contribution to the quarter, we’re still filling up that subscriber base and we just changed the price to $999 So that’ll continue to be an awesome contributor, especially as that funnel fills up and we have an even larger cohort of subscribers. So it’ll make meaningful contribution towards the end of this year, we’re hoping.
Lucas Romanski: Okay. And then last question for Amanda. Obviously, you raised the guidance to reflect 1Q strength. How should we think about the revenue cadence throughout the year? Should we think about it generally being the same maybe on a - off of a higher 1Q base? Yeah, any color there would be great.
Amanda Twede Crawford: Yeah, we’re expecting from a quarterly basis to see sequential growth each quarter with Q4 being the biggest quarter for the year, which is due to the holiday promotional season.
Lucas Romanski: Okay. Appreciate it. And I’ll leave it there. Thanks again. Congrats on the quarter.
Amanda Twede Crawford: Thank you. Thanks for joining.
Operator: Thank you. [Operator Instructions] We have a question from Colin Ricker with Northland Capital. Please go ahead.
Colin Ricker: Hey, guys. Congrats on a pretty stellar quarter here. Quickly, can you provide us with any color on your overall marketing strategy for 2025? And what levers are you pulling on here? And what should we be keeping your eye on going forward?
Jonathan Harris: Yeah, great, great question. We’re really continuing to drive on our FDA and CE medical clearances. That’s really resonating with parents of having that peace of mind and the clearance from the FDA. But ongoing, we’re continuing to work on our every baby communication of really bringing this baby and parent stories forward, which ties in extremely well to Owlet 360 subscription and really bringing a breadth of services and insights to parents. So, what’s working today continues to work and we’re building that momentum and we’re seeing very strong response. The baby registry just gives us a great idea of what is happening in the marketplace in the interest of new parents and wanting to bring an Owlet into their nursery. And we’re seeing over 50% growth quarter-on-quarter. So the messaging is working. We’re continuing to lean in and drive on that.
Colin Ricker : Great. And secondly, it per the call and the PR, it doesn’t really sound like you’re seeing any shift in consumer behavior, just given some of the ongoing macro difficulties. But is there anything that you’re seeing there? Are your typical customers just more insulated to these macro headwinds?
Jonathan Harris: Yeah, that’s a great question. Again, we’re keeping a close eye on it and maybe registry uses our best insight. But as of right now, we’re driving and continuing to have robust sell-through and continued success. But we’ll see where it goes, but we’re cautiously optimistic on the year.
Colin Ricker : Perfect. Thanks for answering my questions and congratulations on the quarter.
Jonathan Harris: Thank you.
Operator: Your next question comes from Ben Haynor with Lake Street Capital Markets. Your line is open.
Ben Haynor : Good afternoon, guys. Thanks for taking the questions and congrats on the quarter. It was fantastic. First off for me, on the Owlet 360 subscription offering, given the 50,000-ish customers already, what sort of - I guess or pop ups or awareness raising has occurred within the app? Is there still things that you can dial up there? How would you characterize, maybe how aggressive you’ve been with the - making people aware of it?
Jonathan Harris: Yeah, absolutely. So we do have in app messaging. So, you know, every new parent that comes on to the Owlet platform downloads the approximately. So we have access immediately to the parents through in-app messaging. But we have other marketing tools as well, such as email and SMS that we’re leveraging. And then, we’re going to continue to drive our messaging through our advertising, through social, sharing stories and really just continuing to drive that drumbeat onto the awareness.
Ben Haynor : Excellent. And then, just kind of big picture, how - I know another firm with which you compete has kept a lot of these kids on and parents on the platform until they’re several years old. Do you do you guys have kind of a cut-off of where you think that or how late in the child’s development that that can potentially go with Owlet 360?
Jonathan Harris: Yeah, so today, parents sees our sock. We’re FDA cleared for up to eighteen months. But we do see that they use the camera for four years or more. So really building up the feature set and subscription around camera to continue to go as the child progresses from the crib, into the bed and beyond. We see a really strong opportunity to continue to drive that relationship that we’ve built from the with the parents from the day they bring their child home from the hospital.
Ben Haynor : Okay. Great. And then, lastly for me, and I apologize if you’ve already covered this. But just thinking through competitively, it would seem that many of the products that show up on in the same category and baby registries likely would be impacted by tariffs. Do you see any tailwind from your competitors potentially getting hit by the tariffs?
Jonathan Harris: Yeah, yes. We do. Yeah. Many of the camera manufacturers, in particular are manufactured in China, which right now have very, very high tariffs. So we actually believe that, if these 10% tariffs stick, which we hope they don’t go up, we actually see this as a potential opportunity to capture additional market share. And we’re going to lean in with our partners and really try to push and increase our market share in the in the infant monitor market.
Ben Haynor : Fantastic. Excellent. Well, that’s all I have folks and thanks for taking the questions.
Jonathan Harris: Thank you very much.
Operator: Thank you. I can confirm that does conclude the Q&A session and I’d like to hand it back to Kurt Workman, CEO and Co-Founder for some final closing comments.
Kurt Workman: Yes. Thank you. Appreciate it. And thank you all for your support of Owlet today. I’m really thrilled with the results in Q1, which sets us up well to deliver continued growth through 2025 and I’m confident in our ability to navigate kind of the evolving market dynamics that we have. We’re very well positioned to capture additional share in the category, execute on our growth opportunity, expand profitability and create long-term value for all stakeholders. Owlet is well on its way to transitioning from a consumer hardware company to a comprehensive pediatric health platform through Owlet 360, through the medical device approvals that we’ve gotten and the healthcare channels that we’re opening up. We are going to be the platform for pediatrics making a meaningful difference in the lives of parents and their children. And I’m just excited to continue to update you on this journey. So thank you so much.
Operator: Thank you all for joining the Owlet Q1 2025 Earnings Conference Call. I can confirm today’s call has concluded. Thank you all for your participation and you may now disconnect.